Operator: Good day and thank you for standing by. Welcome to the Riskified's Third Quarter 2021 Earnings Call. At this time all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Chris Mammone, Investor Relations. Please go ahead.
Chris Mammone: Good morning and thank you for joining us today. Riskified is hosting this call to discuss its third quarter earnings results for the period ended September 30, 2021. Participating on today's call are Eido Gal, Co-Founder and CEO, and Agi Dotcheva, Chief Financial Officer. Earlier this morning, Riskified issued a press release announcing its financial results for the third quarter of 2021. A copy of this press release has been furnished with the SEC on Form 6-K. Before we begin, I want to remind you that matters discussed on today’s call will include forward-looking statements related to our operating performance, financial goals, and business outlook, which are based on management’s current beliefs and assumptions and are not guarantees of future performance. You should not put undue reliance on any forward-looking statements. Please note that these forward-looking statements reflect our opinions as of the date of this call and accept as required by applicable law, we undertake no obligation to revise this information as a result of new developments that may occur. Forward-looking statements are subject to various risks, uncertainties, and other factors, some of which are beyond our control that could cause our actual results to different materially from those expected and described today. In addition, we are subject to a number of risks that may significantly impact our business and financial results. For a more detailed description of our risk factors, we encourage you to read Riskified's periodic and other SEC filings, where you will see a discussion of factors that could cause the company's actual results to different materially from these statements. A replay of this conference call will be available on our website under the Investor Relations section. I would also like to remind you that during the call, we will discuss some non-GAAP measures when talking about Riskified's performance. The presentation of this financial information is not intended to be considered in isolation or as a substitute for or superior to the financial information prepared and presented in accordance with GAAP. We use these non-GAAP measures for financial and operational decision making, and as a mean to evaluate period to period comparisons. We believe that these measures provide useful information about operating results, enhance the overall understanding of past financial performance and future prospects and allow for greater transparency with respect to key metrics used by management in this financial operational decision making. You can find the reconciliation of those non-GAAP measures to the nearest comparable GAAP measures in the earning press release issued and furnished on Form 6-K today and on our prior filings with the Securities and Exchange Commission, all of which is posted on our website at ir.riskified.com. I will now turn the call over to Eido Gal, Riskified's Co-Founder and CEO.
Eido Gal: Hi, everyone. Thanks for joining our second public earnings call. I just want to start the call by addressing some recurring questions we've been receiving and then dive into some Q3 accomplishments we're very proud of. So the main two themes I want to discuss are number one what we consider to be the normalized growth algorithm for Riskified. This is something that's come up a few times and I want to break it down into a very simple and understandable way, okay, and here I'll also mention two transitory impacts on that growth algorithm. Number two, I want to share where we see our biggest opportunities both on the go-to-market side and on the product side, okay, not just where we see the opportunity, but also how we plan to go after that opportunity and how you should expect that to be reflected on our P&L, okay. So starting with a growth algorithm, the simple way to think about it is that we are positively lever to e-commerce growth and we typically grow as our merchants grow. Now that growth shifts around depending on our merchant mix, but industry reports generally project e-commerce growth of 10% to 15%. When we think about new business and that could be net new logos expansion and cross-sell, we believe this can add up to an additional 15% on an annual basis. Because the timing of when we closed large new deals, which can be highly variable that additional 15% of new business can fluctuate in either direction, depending on when in the year deals go live. And finally, our take rates and merchant composition can also impact our growth. And that's it, that's a simplified way to think of Riskified’s growth algorithm. And we mentioned medium to a long term. So, what does that actually mean? From our perspective this is the algorithm for a multi-year time arise. We have a very large TAM, best-in-class core product, growing product portfolio that is gaining traction with clients and increasingly global go-to-market. Now in the short term, there are two transitory headwinds impacting our growth, and I'd like to discuss them. The first is PSD2. This is a payment security regulation in the EU that is resetting some of our GMV in that region. So far, we are experiencing a drop in volumes in line with our predictive model models and the impact of these reduced volumes is built into our overall guidance. The second transitory headwind relates to more muted eCommerce trends and global supply chain issues. Following the reopening of the economy in return to more traditional spending patterns, we see more modest eCommerce growth combined with fairly ubiquitous supply chain issues affecting online merchants. We anticipate that PSD2 and the more muted eCommerce growth trends will affect our short-term growth most prevalently through the first half of next year, after which we expect to start scaling towards our longer-term growth algorithm. Second main topic I want to discuss is go-to-market and product opportunity. Let's start with go-to-market. When you think about the GMV we process this quarter $20.9 billion, we're very proud of it. It's a great scaled number. Having said that, it's still tiny relative to the opportunity we have in front of us. And that opportunity is broadly the e-commerce market on a global basis. When I think about our revenue distribution, approximately 70% comes from merchants domiciled in the U.S. There is significant market opportunity for us to expand outside the U.S. And we plan on accelerating our global go-to-market hiring to make sure we covered the entire market. We have a unique opportunity over the next few years as the world's largest e-commerce companies migrate away from legacy solutions to new modern platforms like Riskified. Most of the growth in our current investment spend is going towards expanding our direct enterprise salesforce globally. While it can take some time to ramp a team and onboard meaningful clients in new geographies, we believe this is ultimately a very efficient model because there is a natural limit to the number of accounts per region after an initial ramp hiring does not need to continue to increase, while the full GMV opportunity is unlocked. So, what remains are very large deal sizes, low turn rates and strong baseline growth making for a very efficient model. For example, in 2017, we spent approximately $8 million in sales and marketing, which we attribute to the onboarding of our 2018 client cohort. That cohort generated $40 million in billings over the last four fiscal quarters. And while not all cohorts are created equal, we do believe this illustrates the in our model. Moving on the product side, we have an amazing and growing portfolio of brands on our platform. They all face similar challenges in using our data. In machine learning capabilities we are attempting to solve complex problems for them. The value of using Riskified manifest as a reduction in cost, an increase in approval rates and a better end consumer experience. We believe that the more value we can provide across each of these dimensions, the better the long-term outcome for Riskified becomes. When we make internal R&D investment decisions, we mainly look at the potential ROI our product can generate for our merchants. Assuming we can drive meaningful and measurable ROI in the form of additional revenue or potential cost savings, we are confident that Riskified can participate in that value creation through a basis point per transaction pricing or some other billing model. So, the focus is on creating value. Since we tackle complex problems, service the world's largest brands and build deep best-in-class solutions, our products can sometimes have multi-year development horizon. But we only undertake them if we believe that the potential value generation is outsized relative to the investment. So, to recap, we talked about our growth algorithm, 10% to 15% baseline from existing e-commerce customers plus up to another 15% from new and expansion. Go-to-market significant global expansion of direct sales in a long-term efficient model and product investment in long-term initiatives that generates monetizable value. Turning back to Q3, some meaningful accomplishments we are proud of that I want to highlight. Number one, earlier this year, we executed a master agreement with the LVMH Group, making it easier for individual LVMH brands to join our platform, an initial significant one this quarter was Louis Vuitton. Number two, we successfully deployed our policy protect product on an existing chargeback guarantee merchant with more than 10 billion in annual e-commerce volumes. When you think about the implications with merchants, trusting us to decide how to manage their policies such as returns and refunds we think the opportunity is large and largely untapped. Our challenge now is to communicate to the world and enterprise eCommerce CFOs, the incremental value and cost savings we can provide them through new products such as these. Number three, there are more than 25 different countries in which we process more than 100 million of GMV in the last 12 months. And this is based on the location of the end consumer and that’s relative to 20 in the previous quarter. Okay. So this shows the capability and value of our product globally and is a very positive sign as we ramp up our go-to-market teams globally. I’ll now turn it over to Agi to share more details on our financial performance.
Agi Dotcheva: Thank you, Eido, and good morning, everyone. First, let me begin with our top-line. Our GMV for the third quarter was $20.9 billion, reflecting a 28% year-over-year increase. Revenue for the third quarter was $52.5 million, reflecting a 26% year-over-year increase. The growth in GMV in revenue was driven primarily by the expansion of our platform from new and existing merchants, as well as organic eCommerce growth flowing through our model. To give a flavor for some of the moving parts underlying overall growth in the quarter, the general eCommerce growth we saw during the third quarter was slower compared to prior quarters as post-COVID reopenings draw higher volumes of in-person shopping, while PSD2 adoption continue to ramp up as expected. Encouragingly and on the flip side, we have seen a continuous recovery of the tickets and travel industry offsetting some of those other trends. Our cost of revenues, which primarily consists of charge like expenses increased by 44% year-over-year to $28.3 million due to previously describe growth. The changes in revenue and cost of revenue that I just noticed drove a 10% year-over-year increase in gross profit to $24.3 million. Before discussing gross profit margin, I want to remind everyone that this is the metric that is best analyzed on an annual basis. Individual quarters can experience variability due to changes in the industry mix of our revenues, seasonality factors and the ramping of new merchants and the varying risk profiles of transactions approved. All of these variables can cause periods to period swings in our gross profit margin. For Q3, gross profit margin was 46% versus 53% in the third quarter of 2020. We reviewed this directional change in our last earnings call as we knew several factors will be at play in causing a lower gross margin for the quarter. The main factors contributing to this increase were primarily driven by the shift in our verticals contribution to the overall industry portfolio mix. First, Q3 naturally carries higher risk volumes due to peak travel trends and summer vacations. This dynamic was of course less pronounced last year due to COVID. And it’s much more significant now due to ongoing easing of the COVID-related restrictions and general travel recovery. Second, we have onboarded several new, large merchants as well as merchants from new industries to us such as payments, which changed our merchant portfolio mix and overall risk levels. Some of the increased attributable to those new merchants and industries should naturally decrease over time as our machine learning models gather more data on the unique fraud patterns. For the remainder of the P&L, I will refer to non-GAAP metrics. You can find the reconciliation of non-GAAP to GAAP numbers in the accompanying press release issued this morning. Total non-GAAP operating expenses in Q3 of 2021 were $38.3 million, which represented a 61% increase from $23.8 million in Q3 of 2020. Our Q3 2021 non-GAAP operating expenses were driven by planned investments in several areas, research and development. As we continue to expand our platform and new features and functionality in support of our growing merchant base and build new products, sales and marketing, as we having invested in our go-to-market activities and capabilities, including expansion of our sales team to meet increased global demand as part of our robust geographic expansion. General and administrative costs, which reflect in the first quarter of public company expenses, including D&O [ph] insurance, regulatory and compliance cost among others. As we mentioned in our previous earnings release, this anticipated increase in non-GAAP operating expenses as a percentage of revenue from 57% during Q3 of 2020 to 73% in Q3 of 2021 reflects our ongoing investments as well as incremental cost of operating as a public company. Adjusted EBITDA in the third quarter was negative $13.8 million. I want to mention that our net loss for the quarter of $86.9 million and GAAP net loss per share of $0.78 were primarily driven by fair value re-measurement adjustments of $64.4 million recorded upon our IPO. This is a non-recurring non-cash accounting charge that negatively impacted our third quarter GAAP EPS by $0.58. Moving on to the balance sheet, our cash position remains very strong. At the beginning of the third quarter we completed our initial public offering and raise net proceeds of approximately $392.3 million. We ended the third quarter with $534.1 million of cash and cash equivalent, restricted cash and short-term deposits, and do not carry any debts. We expect the proceeds we raised from the offering to enables, to focus on aggressive global go-to-market expansion, continue to develop and augment products that solve extraordinary difficult pain points to our merchants, and continue to execute at scale as a public company. And now turning to guidance; let me remind you that we expect the PSD2 regulation, which European Union countries have begun to adopt to continue to accelerate a relative to earlier quarters for the remainder of this fiscal year and into the start of next year. We expect that Q4 will carry a more significant impact than Q3. In addition, while we are highly optimistic about the long-term prospect of e-commerce growth and penetration due to the current circumstances around the reopenings and global supply chain challenges, we think it's prudent to maintain a more cautious stance for the fourth quarter. For the full year 2021, we anticipate revenue between $226.2 million and $227.2 million and negative adjusted data between $25.5 million and $24.5 million. For modeling of earnings per share on a GAAP and non-GAAP basis we expect to have approximately $163.5 million weighted average shares outstanding for the three months ending December 31, 2021. To conclude, I want to reiterate what Eido already mentioned. Riskified is a company that is focused on serving our customers well for the long-term. We believe we operate in a large growing market and have unique data and machine learning capability. We recognize that creating best-in-class solutions that solve complex problems takes time and resources. We'll therefore continue to invest in the growth of the team, our technology and products and our global operations. Thank you all for your attention. Eido and I will be happy to take any questions now.
Operator: Thank you. [Operator Instructions] Our first question comes from Timothy Chiodo with Credit Suisse. Your line is open.
Timothy Chiodo: Great. Good morning. Appreciate you taking the question. Really helpful on the growth algorithm, I'm sure many investors will appreciate that. Maybe you could just touch on those two components as we head into Q4? And then you made some comments around the first half of 2022 and realize you're not providing a formal guide today, but to the extent that you could give some context on those components for the first half of next year, meaning what your rough expectations might be more for the new business component that you have a little bit more control over than the e-commerce and market growth. That would be a really helpful start.
Eido Gal: Sure. So let me try to unpack that. I mean, I think, if you look at our guidance, we can kind of walk back into 33% to 34% growth for 2021. So kind of within that general framework that we just shared and like you mentioned we're not giving official 2022 guidance yet. But I would say just looking at public consensus the range is below the framework we just shared. So I think directionally this makes sense, right. And the most pronounced impact is during the first half of the year and we see ourselves reverting back towards the framework rates afterwards, right. When we think about PSD2, it is kind of fully burdened within our model. When we think about something like the supply chain, it's a relatively new issue. It's affecting a good chunk of our existing clients. And we're not exactly sure how it will play out, which is why we're taking a more cautious approach which is also one of the reasons we then raise Q4.
Timothy Chiodo: Okay, excellent. Thank you. But the new business component though kind of separate from those issues, is it still fair to think about that roughly 15 point contribution to volume?
Eido Gal: Yes. That's not something we're providing right now.
Timothy Chiodo: Okay. Okay. All right. No problem. I will – as a quick follow up, you highlighted in the slides and in the press release around the policy protect announcement that you made with a very large merchant. It sounds like maybe you could just add some additional context to that because it seems like a pretty meaningful win.
Eido Gal: It is. We think it's very unique. It's what – what's happening in this case whenever an end consumer initiates a refund request we're creating, we're checking to see the legitimacy of that request right, are you just receiving your package and you want another pair, will you actually ship back your kind of the order that you – in order to get that refund. So we think it's an incredibly complementary product and it generates significant cost savings for the merchant.
Timothy Chiodo: Excellent. Thank you for taking the questions.
Operator: Thank you. And our next question comes from Bob Napoli with William Blair. Your line is open.
Bob Napoli: Thank you and good morning. Thank you for the question. So I think, Eido, you said, or Agi, that you expanded from 20 countries to 25 countries during the quarter. Can you give some color on geographic expansion and how you expect the mix of business, the success you're having geographically and how you're accomplishing that and what you think the opportunity is over the long-term for non-U.S. business?
Eido Gal: Yes, I mean, we think our product is applicable globally and we love that measurement of the 25 geographies because it shows the value that we can create in those regions, which is a good proxy and leading indicator for us to create some of those sales teams and regional go-to-market teams. I would say that the U.S. continues to be our largest market, but we think there is still tremendous runway for further growth. We're seeing kind of the most pronounced traction in APAC and LatAm with kind of higher growth rates obviously on a smaller base, but we still think there is significant opportunity there. EMEA, we still think it's a very relevant industry for us. We have kind of our PSD2 related problems, PSD2 related products to help solve some of those issues and that's really how we're seeing the global opportunity today.
Bob Napoli: Okay. Maybe just to dig in a little bit more on the gross margin and the gross margin outlook and your confidence, I guess. And, I think, Eido, you had talked about the consensus being the overall broadly below your growth trend or targets. But how the – should we see an acceleration in gross margin from the third quarter level? I know there's seasonality, but where do you expect to see the – where are you targeting the gross margin over the longer term?
Agi Dotcheva: Bob, I will take this one and thank you for the question. So, as we discussed previously, the best way to look at our gross margin is on an annual basis. And when I think about everything that we have accomplished until today and the portfolio mix with merchants that we've added as new merchants is very much aligned with everything that we kind of expected and provided as a guidance in that space for the year. When I think about long-term, I think it's too early to provide any guidance, but overall I'd expect that these types of factors that are affecting us today will continue to affect us in the future. Our gross margin will depend on the new merchants, the new industries, the new geographic trends that will go into at the same time an improvement in technology will be layered in and potentially any new products might also kind of affect some of this in a positive way.
Bob Napoli: Okay. But the low 50s, 53, 54 is where kind of, I think, you had been, and that's where you're comfortable on an annual basis?
Agi Dotcheva: Everything that we've shared for this year, I think it's part of our adjusted EBITDA guidance and it's kind of layered in. It's hard to provide guidance for next year as of now, but we'll be more specific when we talk about 2022.
Bob Napoli: Thank you. Appreciate it.
Operator: Thank you. Our next question comes from Ramsey El-Assal with Barclays. Your line is open.
Ramsey El-Assal: Hi, thanks for taking my question this morning. Can you comment on the timing or cadence of the PSD2 impact? Kind of seeing what you do now or knowing what you do now, when should that impact kind of peak? And sort of what inning are we in terms of the European wide implementation of the new regulation?
Agi Dotcheva: Yes, thank you for the question. So, as we expected, we say that the regulation is being in force in all European countries with the exception of the UK, which has delayed enforcement until March of next year. And we saw our client base increasing adoption very much in line with the increased enforcement, but also with our kind of expectations. Clients are becoming more aware the pain points as well, which are inherent to PSD2, including friction, drop-off, as well as different vulnerabilities to fraud from 3DS. And so accordingly, we're continuing to our PSD2 offering to deliver increased value for our clients. In terms of what we see, I would say that we're probably somewhere midway in terms of adoption. And if I think about it as a bell curve, we're just somewhere just right before the peak. And as we previously shared, we do believe that if nothing changes in terms of the way countries serves, adopting what the merchants, adopting the peak will be early in the first half of next year.
Ramsey El-Assal: Okay. That's very helpful. One, follow-up from me. I wanted to ask about the master agreement with LVMH and Louis Vuitton. Show we expect then sort of more of their brands to come online with you in the near term or medium term? And I guess more generally, can you give us an update on your sales pipeline, how would you characterize it sort of now versus previously?
Eido Gal: Yes, so I would say we're very happy with both the pipeline and the actual kind go-to-market performance so far, we've onboarded an increasing number of brands this year. Some of them the largest that we've ever known to the platform. So, feel great about that. We would definitely anticipate and the reasoning for creating this type of master agreement is to create a more easy and frictionless process for the individual brands who do own their own kind of decision-making process. But to make it easier and more compelling for them to join. So, we anticipate that we would see more from that.
Ramsey El-Assal: Got it. Thank you very much.
Operator: Thank you. Our next question comes from Josh Beck with KeyBanc. Your line is open.
Josh Beck: Thank you, team for taking the question. I wanted to drill down a little bit into some of the supply chain impacts that you're seeing. I think what we've maybe seen from some other company is more air-oriented transportation. Obviously, fashion luxury would fall in that bracket have been less impacted, maybe more so freight and heavier items have been more impacted. So just would be curious to hear a little bit about some of the different effects, you are seeing across some of your verticals.
Agi Dotcheva: Thank you for the question, Josh. We have a couple of clients within the industry that currently have been reporting some pressures from supply chain issues. I would say that they are mostly around high fashion, sneakers, home furnishings. It is a new issue and I think it's still so early to understand the full magnitude and how long it will take to resolve. And that's what I kind of shared that it’s just important to be cautious.
Josh Beck: Okay. That makes a ton of sense. I'm just curious, obviously it was an impressive example with policy protect. I'm curious, maybe if you look at some of your customers that have really bought into, or effectively adopted all of your products and modules, maybe what type of uplift you can get maybe with respect to annual contract value or take rates? So, I'm just kind of trying to think through what could be a bit of a upper limit in terms of the economic relationship that you can establish there?
Eido Gal: I think no one is the average in this sense, because we have such a wide variety of fees because our pricing is risk dependent. So, it depends on the category in industry, how global you are in selling, what are your margin profile is like. And how would you – do you want to be more aggressive on approvals with a higher chargeback rate because you do have higher margin categories versus other industries where the margin profile is going to necessitate a lower risk profile. So again, what we really think is great is that we're a very flexible solution in that sense. So, we work just as well with lower-risk categories, like pet foods and home goods; as we do with higher risk industries like sneakers and digital tokens. Same thing with some of the additional products. When you think about something like policy, some physical good merchants which have high return rates, the ROI for that type of service is immense. Other categories which have lower numbers it can really skew. So, I would say some of the baseline figures where we've seen increase in approval rates up to 20%, and we shared some of those ROIs collectively with kind of cost reduction in the 40 plus percent range are the ranges that we can experience, obviously with most customers falling somewhere in the middle.
Josh Beck: Very helpful. Thanks team.
Operator: Thank you. Our next question comes from Tien-Tsin Huang with JPMorgan. Your line is open.
Tien-Tsin Huang: Thank you and good morning. Appreciate all this. Just want to, I know Bob asked about gross margin. I just want to be a little bit more specific if you don’t mind on the fourth quarter, looking back last couple of years, gross margins up like five points sequentially. Is that a good consideration for seasonality? I know there’s a lot going on with PSD2 and the holidays and travel, whatnot. Just curious what you’re thinking bigger picture here for the fourth quarter?
Agi Dotcheva: Yes. Seasonality in the fourth quarter definitely has impact in the future. And I don’t think anything to change this year. Usually fourth quarter is kind of like better in terms of gross margin compared to Q3. I would say that in general, we – the biggest factor also that can additionally impact the gross margin is the merchant mix and the portfolio of merchants that we’ve added. And an additional factor is, as we’re getting into payments, this is something that has impacted Q3. Obviously, the potential in terms of revenue and potential in terms of penetrating this industry is great. And we were confident that over time, our machine learning models will get a more data and kind of perform better around that area as well. But you are very much kind of correct when you say that Q4 is definitely, usually like better quarter compared to Q3.
Tien-Tsin Huang: Okay, great. And just on the – just staying with the gross margin to what you just mentioned there, I guess, just on charge back to billings, the – any surprise there, are you happy with the performance and what you saw on the third quarter and the trends so far into the fourth?
Agi Dotcheva: It’s definitely aligned to our expectations. I think there’s a few factors that we already called out in the prior earnings call and we’re happy where we ended up.
Tien-Tsin Huang: Very good. Thank you.
Operator: Thank you. Our next question comes from Terry Tillman with Truist Securities. Your line is open.
Terry Tillman: Yes. Thanks, Eido and Agi. And I do also appreciate the commentary on the growth algorithm earlier at the beginning of the call, Eido. My first question relates to ticketing and travel. I know it was a major headwind last year. It had a big impact on kind of net revenue retention and just overall business trends. Are we still talking headwinds or are we starting to get to a point where you’re anniversarying the worst of that? And in fact, it could start to become more of a tailwind. Could you help us with that on either 3Q or 4Q and then I had a couple of follow-ups?
Agi Dotcheva: Sure. Thank you for the question. We’ve definitely seeing tickets and travel as a tailwind. We’ve seen the recovery across number of our merchants both across domestic and international, and that’s definitely a positive trend. Our chair and I say that in general tickets and travel is still not at the pre-COVID level in terms of recovery. There’s still a long way to go. And this is something that can be a positive trend for the future as we continue to recover.
Terry Tillman: Got it. And Eido earlier, there was a question it was a good question about just thinking about your framework commentary and then the transitory dynamics, and particularly continuing into the first half of next year. You did start talking though about the consensus and so could you flush that anymore in terms of given the framework that you’re talking about is that above where the consensus is at about 20% for 2022, and then I had just one more follow up.
Eido Gal: Yes. So again, without going into guidance, just saying, assuming that, the framework that we shared the 25% to 30%, we see that the Street consensus is below that. We think directionally that’s the right approach because of the PSD2 and supply chain issues. We see that peaking during the first half of the year. Afterwards, we’re going to see that regress towards the framework that I kind of just laid out.
Terry Tillman: Understood. My last question, just intriguing in terms of newer industries that could definitely leverage your machine learning platform. So I think last quarter you did have the payments win and you’re talking about payments and some of that may be getting going in the higher kind of risk profile initially. But I’m curious when you get those kind of lighthouse new accounts in a new industry like payments, maybe we could double click into, are you seeing a growing pipeline in payments and/or is there any other industries you’d share with us that are intriguing in newer? Thank you.
Eido Gal: Yes, I think, remittance and crypto have both seen an increase and attention from our perspective and a growth in the pipeline. And you’re right. It tends to happen once we onboard kind of a few initial marking in [ph] and makes it easier for us to develop kind of more customized technology towards that segment and also makes the go-to-market approach a bit smoother because of our experience in that industry. So, yes, we agree.
Operator: Thank you. Our next question comes from Brent Bracelin with Piper Sandler. Your line is open.
Brent Bracelin: Good morning. Excuse me. Good morning. Q3 growth, I think, overall was 20% – 26% here this quarter. I’d be curious to hear what the U.S. growth rate was given in Q3 here specifically, given more than half the merchant base is in the U.S. And there’s no PSD2 kind of headwind there, any color on U.S. growth rates for Q3?
Agi Dotchevav: It's hard to kind of differentiate specifically U.S. growth rates on its own as there's so many other factors that'll say that can impact merchants as well. We just talked about supply chain issues, about general slowdown in e-commerce as well. And we do see this across the board not just specifically in a single territory. I will say that overall e-commerce have remained strong in terms of growth even without – even with these kind of trends as well. But it's purely to say how this will impact over the next few years.
Eido Gal: I think it also depends on how you categorize U.S. U.S. domiciled merchants of international volume, which is also impacted by PSD2. So it depends on how you isolate that. If you completely isolate, I'd say to you then yes, the growth rate there was obviously higher.
Brent Bracelin: Got it. That's helpful color. And then just drilling down a little more in the supply chain. Could you talk a little bit about the linearity of GMV in the quarter by month if you think about kind of July, August, September now in October, all the supply chain disruption that you're seeing ex-PSD2 headwinds, more pronounced in the back end of the quarter and going into October were – was it headwind throughout every quarter, just trying to get a sense of supply chain disruptions from a linearity perspective?
Eido Gal: Yes, I think you're right. There was definitely more pronounced on the back-end of the quarter kind of confiding both supply chain and PSD2 specifically PSD2, again more in line with our modeling around when the regulation is rolling out into what geographies, and I think supply chain had a similar pattern as well.
Brent Bracelin: Got it. Last question for me is, yes, go ahead.
Agi Dotchevav: I was just wanting to mention that some of our customers in their own kind of reports, they're talking also about the supply chain issue in the holiday season. So this is something that's important to kind of see how it plays out.
Brent Bracelin: Absolutely. And then my last question here, Agl, I'm still kind of run through my numbers here, but it does look like chargeback expenses were up sequentially in Q3. I think revenue was down. So maybe, could you talk a little bit about what drove that that increase in chargeback expenses? Was that tied to a higher fraud risk burden in a quarter? Are those just fixed investment ahead of new products, any sort of additional color on kind of the Q3 increase in chargeback expenses if I've modeled that correctly?
Eido Gal: Sure. So let me just kind of recap. As a business we manage our chargeback expenses annually. We think that's the best way to be able on a quarterly basis to drive optimal performance for our merchants, and that performance can fluctuate based on the level of fraud coming in, right. And that's a product both of seasonality Q3 inherently has higher travel risk. Specifically this quarter had a much higher prevalence of travel and ticketing merchants relative to last year due to COVID. And in this quarter we had a more pronounced impact from new categories like remittance and crypto, which we anticipate will kind of normalize over time as our machine learning model gets better, right. So again, this was higher than the previous quarter maybe relative to the previous year. But when we look at the business from an annual perspective and set the goals for chargeback's it's within that range and we feel okay with it.
Brent Bracelin: Got it. Thank you so helpful. Thank you.
Operator: Thank you. And we have a follow up from Bob Napoli with William Blair. Your line is open.
Bob Napoli: Thank you. And just to be clear, you have a lot of ability to manage the chargeback or the gross margin. If you're getting higher chargeback's in a new category, you would tighten the approval rate, which would bring that back down. So you can manage within a gross margin – you have flexibility generally around managing around the gross margin. Is that a fair statement?
Eido Gal: That's exactly right. There is a lot of control over that number. We set it on an annual basis, okay, just so that we don't feel we have to make decisions on a quarterly basis that are counter to the long-term success of our merchants, right, but there is always control.
Bob Napoli: Right. Thank you. And then just on the cross sell, several of your products whether obviously you called out policy protect, but PSD2 optimize Deco account secure, what does – how is cross sell going and what is the potential like when you add something like a policy protect, what does it do to the revenue, the ARR for that – for a client, what can the cross sell add and what success are you having?
Eido Gal: So you had good success outside of policy that we mentioned in both the PSD2 products and account secure throughout this quarter. And we really think that getting enterprise clients onboard, generating value, that's our core focus right now. And we're certain we'll be able to monetize that in the medium term. When we think about some of these possible lifts, we think they're incredibly significant. They vary by industry…
Bob Napoli: Sorry? Any issue?
Operator: Yes. I think that was – that was the end of the response, Bob.
Bob Napoli: Okay. All right, sorry about that. Then just, if I could sneak one last one in just what is on the salesforce? What has been the increase in the salesforce? What is – what do you have today and where are those employees based?
Eido Gal: Yes. I think the biggest growth has been in APAC and LatAm. We have the largest part of the sales force today is in the U.S. We're still seeing a lot of opportunities to expand that. But just from a percent basis APAC and LatAm is probably where most of the growth is, is focused on right now.
Bob Napoli: Great. Thank you. Appreciate it.
Operator: Thank you. And I'm showing no further questions at this time. I'd like to turn the call back to Eido Gal for closing remarks.
Eido Gal: All right. Just to say thank you everyone. Have a great holiday season, and we'll see you in three months.
Agi Dotcheva: Good bye.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.